Operator: Good morning, ladies and gentlemen. Welcome to Galp's First Quarter 2025 Results Presentation. I will now pass the floor to João Gonçalves Pereira, Head of Investor Relations.
João Gonçalves Pereira: Good morning, everyone, and welcome to Galp's first quarter 2025 analyst Q&A session. In the room with me, I have both our co-CEOs, Maria João, João Diogo, and the executive team. But before passing the mic for some quick opening remarks, our usual disclaimer. During today's session, forward-looking statements are based on our current estimates. Actual results could differ due to factors outlined in our cautionary statements within the materials we released this morning. João Diogo, the mic is yours.
João Diogo: Thank you, João, and good morning, everyone. Q1 was a solid quarter for Galp, particularly when facing increased market volatility, geopolitical scenarios are evolving rapidly and uncertainty remains high. In this scenario, Galp's highly resilient asset base is reassuring. As you know, our upstream operating base runs on cash breakeven of $20 per barrel and the Iberian mid, downstream businesses are running lean and should be reasonably resilient cash flow providers. It is, of course, fundamental to ensure disciplined execution and capital allocation, returns focused and adapted to the market circumstances. Early this year, we already guided for a tighter net CapEx spending, showcasing that discipline. It is important to always maintain a lean and efficient organization to potentiate agile but robust decision-making. Lastly, we recently reconfirmed officially our executive structure, Maria João and I appreciate the Board's confidence and we will continue to be fully focused on Galp's plan, execution and long-term value creation. Maria João?
Maria João: Thank you, João Diogo. Good morning, everyone. Let me just highlight on a couple of the topics you've mentioned. So, Q1 has indeed been a solid start of 2025 for Galp, as we've had robust contributions across our Iberian businesses, offset the slightly weaker upstream performance. This was caused by the concentration of planned maintenance. We've had turnaround in four units, and this has added up to a number of stoppage days that is already over 40% of our full year plan. And with this, of course, production stood at 104,000 barrels. Still in upstream, we continue to execute on our disciplined portfolio management, successfully completing divestment of our stake in Mozambique Area 4. Together with the final earnout from Angola, this translated into an €870 million cash in and has placed Galp in, what I call, a privileged position to ensure solid financials in light of the current market circumstances. In Namibia, well number 5 was safely drilled. This is another successful well, unlocking now the Southeast region of the Mopane complex, an exciting area for us. We are now focused on integrating all the data collectives and working towards evolving the ongoing feasibility and development concept studies. The natural step in Namibia is, of course, to advance on the partnership. We are already engaging with several parties that have been signaling interest, all highly credible top-tier operators. At this time, Galp is initiating data sharing. We're mindful of the fact that the alignment necessary for a value-accretive partnership will likely take time, as we've always expected, and we had no delays to our game plan and be clear, no procrastination but also no rush. All in all, our base expectation is a firm decision only later in the year, even though we're not committing to a strict timeline. So, looking forward to now take your questions. Operator, shall we start Q&A?
Operator: [Operator Instructions] And your first question comes from the line of Josh Stone from UBS. Please go ahead.
Josh Stone: Yeah, thanks. Hi, good morning, Maria João and João £o Diogo. Thanks for your time, and congratulations on your appointment as co-CEO of Galp. Two questions, please. Firstly, I appreciate the extra comments on maybe a farm down process and the timeline on that. Maybe just expand a little bit on the competitiveness of the process so far. How many bidders or potential bidders have you got in the data room? And have you actually received any revised bid yet and how you see that's going? And maybe just expand a little bit on how you weigh up the process in terms of getting a partner in now versus the risk of leaving money on the table by transacting too early? And just maybe expand a little bit on that, that would be helpful. Thank you. And then, second comments on guidance. You've refrained from updating your financial guidance today, which I think seems sensible given the uncertainty in the market but maybe you could just talk a little bit how given the recent downturn, how you're thinking about capital priorities inside the business and the level of flexibility in your financial frame if you have if it was needed to be tapped into? Thank you.
Maria João: Thank you, Josh. So, let me start with Namibia. On the process so far, I've just mentioned that partnership is a natural and preferred next step. So, what we're doing is, to a very large extent, reengaging with the interested parties that we've had conversations before. And that has been our priority. Again, a set of potential partners that tick the boxes, if I may say so, in terms of their experience, their potential role as an operator, their manifested interest and their availability towards exploring the asset at the right pace. So, data is now being shared. We're going to -- we expect to be sharing data until mid-summer. Priority is ensuring the alignment of interest. So that's what we are going for. So, making sure that we get a fair valuation and we have a good understanding of the assets to make sure that we align interest. We don't really have a firm timeline here. We -- again, I think the expression of no procrastination is clear to us at this stage, but it's also clear to us that maintaining the right exchange in terms of information as we are ourselves still analyzing is going to be critical for the deal to be a value-accretive one. So, no firm timeline, base expectation is on Q4, no procrastination. All in all, this is an asset that we like. We are maintaining our risk appetite and our exposure, but we expect that the deal will be completed as soon as possible, but very much looking forward to making sure that it is a value-accretive one for both parties. Now, on your second question on our unchanged guidance, if I take it correctly, we have a rather resilient base case. So, in light of how hard it is currently to call on the macro and taking into consideration the fact that if we look at our core businesses in upstream, for instance, we have a cash breakeven of approximately $20 per barrel. So, even though we registered the current uncertainties on the macro, what we're seeing is the resilience of our base case, put together with the fact that -- as we've also mentioned, we've had the first cargo from Venture Global coming in. So that gives us a little bit of an upside. But all in all, putting the two effects together, we feel that now is not the moment to revise our guidance. So, we've already looked into our CapEx. You've seen the numbers of our revised guidance for this year. This is already 20% down from what was the case in the previous period. We're maintaining our disciplined approach. We do see just a bit of room to further optimize CapEx should it be needed. But at this stage, fundamentally, we are holding off to see to what extent the current volatility actually is brought down, and we see clear roads ahead. We think we have the right balance sheet and the right resilience to withstand what's ahead of us without having to move down the guidance right now. Thank you.
Josh Stone: That's very clear. Thanks for the comments.
Operator: Thank you. Your next question comes from the line of Alessandro Pozzi from Mediobanca. Please go ahead.
Alessandro Pozzi: Good morning. Thank you for taking the questions. The first one is on the farm-out process. I was wondering whether there is any development work that is being done in the background. And what I mean by that is maybe purchasing long lead items or prebooking construction vessels or space in yards for potential FPSO work, whether there's any of that potentially that is ongoing. And also, on the farm-out, I was wondering, you mentioned the seismic, the 3D seismic will probably take a year to be fully integrated. I was wondering whether that could be an important milestone for the farm-out and whether any potential buyer would want to wait for that before putting a firm bid on the table.
Maria João: Thank you, Alessandro. So, I think these are two questions that go hand in hand. Let me try and take them out. So, on the type of work we're doing right now, I think we've been very clear that we've conducted our drilling and our exploration in a very fast pace. So, those were five wells in a little over a year. And that, of course, now requires that we catch up and that we actually drive the data that we are still getting out of that drilling activity into our models and into our understanding of the asset. So even though -- again, the partnership is the natural way forward, but that requires the ability for us to conduct a productive dialogue with the potential partners. So, our focus right now is very much so on getting through all of this data, making sure that we bring it forth into what could be a proposed development concept. We've proved that the best way forward for Galp is to have a positive view, our own view on the assets, and that's what we want to be sharing. That requires that we look at this data. So, we're both analyzing it and sharing it with potential partners, and that is very much the focus of our work so far. So, we keep a little bit of an eye out on the market. So, having had an operator's stance in the previous stage has proved value accretive for Galp. So, we are indeed keeping our teams attentive to the market. But our focus right now, again, to be very clear, is to make sure that we bring all that data into what is the natural way ahead for the asset, and that is a negotiation with a potential partnership. The seismic is one of those data points. But again, let me be clear, that is not going to be a roadblock. That is not in the way of our conversations. Information is valued, it will be brought in. It will be incorporated into the models and into a potential development concept, but it does not stand as a roadblock as of now.
Alessandro Pozzi: Thank you. And maybe just a final one, if I can, on working capital. Should we expect the builds to reverse next quarter or throughout the year?
Maria João: Yeah, absolutely. Very contextual to a very large extent related to the extreme bad weather we experienced in Portugal. So that didn't allow us to follow our regular schedules in terms of cargoes and loading and had an impact in terms of inventories. We expect over 60% of it, which is the part related to this bad weather circumstances. This will be naturally diluted as we process and the refinery and our shipping resumes natural conditions. So, totally circumstantial.
Alessandro Pozzi: Thank you.
Operator: Thank you. Your next question comes from the line of Biraj Borkhataria from RBC. Please go ahead.
Biraj Borkhataria: Hi. Thanks for taking my questions. The first one was on the midstream. You had another really strong performance in Q1. It looks like you've quite heavily derisked the full year guidance already. And you mentioned in your prepared remarks around the Venture Global volumes not being reflected in guidance. So, I just wanted a little bit of help in terms of the materiality of these volumes. If you were to assume spot prices or forward curve, should the run rate for the midstream be more like €600 million EBITDA? Is that in the right ballpark? So, any color on that would be helpful. And then secondly, just going back to Namibia. Firstly, thank you for all the incremental color. It's very helpful. Just wanted to get a sense of the magnitude of the spending this year. I think last year, CapEx to Namibia was just over €300 million. I suppose if you're pausing the campaign from here, what's embedded in the budget for this year? Some color around that would be helpful, too. Thank you.
João Diogo: Thank you, Biraj. On your first question, so we are clearly expecting a continued robust contribution with supportive performance from our activities all across all the commodities. Surely, it is a key milestone bringing Venture Global. We are confident that the current sourcing and supply portfolio will continue to enable a robust contribution to Galp results. You know that well, and Galp's first cargo was lift on the 15th of April. However, no volumes from Venture Global were assumed in the 2025 guidance. So we are, at this point, keeping our 2025 EBITDA guidance above €350 million, and that's all for now.
Maria João: Let me take the question on Namibia. Biraj, I believe you're looking for how much we have in our plan for 2025 concerning further CapEx in Namibia. We have around €100 million to €155 million that concerns both the well and the seismic. So, no further major CapEx spend expected there. So all in all, the number you are looking for is in the 100 -- a bit over €100 million, €150 million in our projections for '25.
Biraj Borkhataria: Great. Thank you, both.
Operator: Thank you. Your next question comes from the line of Giacomo Romeo from Jefferies. Please go ahead.
Giacomo Romeo: Yes, thank you. Two questions for me. The first one is on -- again, on the farm-out process, apologies for that. The no procrastination appears also to be the position of the Namibian government. So, I was wondering what's the alternative route if you don't get the offers to the level of valuation you actually think Mopane deserves. Would you consider progressing into taking FID on the first unit on your own? The second question is, there has been a lot of discussion around the contingent resources you disclosed for Namibia in your annual report. Now obviously, I understand this number doesn't include the majority of the latest -- the data collected on the latest drilling campaign. And where would you see this number going if all the wells, all the incremental wells were included in this? And on this, are you still confident in your above 10 billion BOE in-place resource estimate? Thank you.
Maria João: Thank you, Giacomo. It's clearly a lot of road ahead for us with this asset for us to be considering alternatives. We do look at the decision tree with all the alternative plays, but I think what we see right now in terms of the interest that we've had on the asset on the predisposition of Namibian authorities, what we have in terms of incoming information on the asset and what we already know and how we're incorporating it into a potential development plan. If you add to what we had already found with the first Northwest complex that we've had in Mopane, if you now have the results of our latest well at 3X, there's quite a lot of exciting information there as well. So, really early days for us to be walking away from the focus that we have right now. I think this is an asset that will benefit from having the right pace of development, and that's very much what we're focused on right now. What we're seeing in terms of interest in predisposition is positive in that direction. So that's what we're exploring and that's what we're keeping all the focus of our teams on. So that's way too early for us to be actively discussing alternatives moving ahead. On your question on the contingent and the numbers that we've reported, the 10 billion barrels still stand. They refer to the global to the total of Mopane, and you have to take into consideration that the DMAIC information that was public referred to November. So actually, it was kind of halfway through the campaign that we had ongoing at the time. So they're consistent as we see it. We -- they're, of course, mean risked in our estimates, and they have the methodology of DMAIC, which is different from our models and our internal analytics, but we see them as consistent. We've shared with a focus on 3Cs precisely because all the work that we have -- that we're doing in terms of development will bring further substance to any 2Cs figures that we don't see yet as the most relevant ones to explain the full complex. I think it's positive to give a few additional notes. So if you look at DMAIC, those were stated for our share. If you look at the 100% basis, it's actually 0.9 billion barrels. So, I think it's actually positive that this is an extrapolation for analog discovery. So, fundamentally, what this tells us is that there's reassurance in knowing that there is this type of contingency in our findings with the little information that was known back in November. So, all in all, our 10 billion barrels still stands, but a lot to learn about the complex.
Giacomo Romeo: Thank you. Very clear.
Operator: Thank you. Your next question comes from the line of Matt Smith from Bank of America. Please go ahead.
Matt Smith: Hi there. Good morning. Thanks for taking my questions. I had one on Namibia and one on Brazil. So, the first one on Namibia, I was hoping you could maybe provide some additional color on the Mopane-3X result. You noted higher-than-expected pressures in your press release. There's been a lot of sort of discussion in industry press that it was ahead of expectations or perhaps better than previous wells drilled. I just wondered if you were able to talk to any of that and pull out any other notable characteristics beyond just the pressures, please? And then, the second one, turning to Brazil and your turnaround progress, noting that you're 40% through that turnaround progress for the year already. So I just wanted to ask how is the work program and the unit restarts also gone so far versus expectations? And how has that developed your confidence in the full year guidance, please?
Maria João: Okay. Thank you, Matt. On the extra color on 3X. So we've indicated that I think I call it exciting. It's good characteristics what we've found and what we're still discovering so far. And again, I keep going back to the fact that this well was ended halfway through the quarter. So, there's still a lot of information coming. Having said this, all the information we're getting is still confirming what we saw and shared initially. So, high permeabilities, good porosities. We had higher-than-expected pressures, which we see as a good sign, very low CO2, no H2S concentration. So, all in all, good results. We're still integrating and analyzing all the income data. I think it's fair to say that if you look at the Southeast region where Mopane-3X took place vis-a-vis the Northwest, what we see in the Southeast is in line with our expectations, and it's certainly oilier than the Northwest region. So, oilier with good permeabilities, higher-than-expected but manageable pressures. So, good indications, hence, my exciting objective for the fine if you're talking about color. On Brazil, indeed, 40%. We don't guide on yearly seasonality of maintenance. So overall, this was, to a large extent, expected. Maintenance has been going well with no significant events to highlight. So, we're maintaining our guidance of 105 barrels. So this, of course, in terms of -- guidance includes a little bit of caution. We've -- there's always, to some extent, unplanned events. So far, we've had very few of those, so very low unplanned events so far. So all in all, all according to plan. The concentration was, to some extent expected, but we're not revising our guidance in terms of production overall.
Matt Smith: Perfect. Thank you very much.
Operator: Thank you. Your next question comes from the line of Paul Redman from BNP Paribas. Please go ahead.
Paul Redman: Hi, guys. Thank you very much for your time. I have one quick question on the management structure now. Congratulations to both of you for the co-CEO roles. But I just want to work out how you're managing the business at the moment. I feel like I'm getting a bit of a Namibia side from Maria João. Let me know if that's right. And then, my second question is, there's been some talk about a potential third hub. So, we've got the Northwest, the Southeast. Is there any more color you could give me on how many additional hubs there could be at this asset? And if you agree there is potential for a third hub right now?
Maria João: Thank you, Paul. So, no -- this is a co-CEO role. It's precisely about sharing and about being able to establish dialogue. So, no allocation of Namibia, if you like. We have Nuno, who's just recently joined our ExCom is Head of Upstream. And he is, of course, leading the day-to-day operations and the teams that are dealing not just with Namibia, but with the remainder of Upstream. Other than that, we're very focused on making sure that we get the good things out of this model. And we do live through those good things as being very much about stability and execution. So, this allows us focus without having to transition, without having to move away from what is a strategic guidance that we find valid and making sure that, that strategic direction is deployed in a way that helps us navigate through the current volatility in the market instead of being a further hindrance. So, it's governance-wise, I understand not a very conventional solution, but we're very committed to making it work. And we've had very good support from the Board and in particular, from our colleagues in the ExCom. So, it just speaks to how we complement each other in terms of capabilities, and we're navigating through it, of course. But so far, I think we're enjoying it, and we're adding value to Galp in doing so. On third hub in Mopane, I believe, well, way too soon to talk about that. There is great potential in Mopane, a large number of AVOs. But right now, again, we're very focused on making sure that we get the right development concept for what we already know about the Northwest region and for the Southeast region, we are not at this stage moving forward towards the third hub so far. We believe that making sure that we catch up with all the information we got from the first initial exploration and appraisal campaign is critical, and that's what stands in our decision tree at this moment as being the more value-accretive approach for the asset.
Operator: Thank you. Your next question comes from the line of Alejandro Vigil from Santander. Please go ahead.
Alejandro Vigil: Hello, good morning. Thank you for taking my questions. The first question is about Brazil. If you can give us an update on the Bacalhau project and also on the potential extension of the plateau for 2P? And the second question is about these comments you made about the potential optimization of CapEx in the context of lower oil prices. If you can elaborate on that, some areas where you are expecting to delay CapEx or to, as you said, optimize? Thank you.
Maria João: Alejandro, starting with Brazil on Bacalhau. So again, we're continuing to align with the operator in guiding for first oil later in 2025. So, as I'm sure you're all aware, we've been discussing it before, the FPSO is already in Brazil. Still works ongoing. So, all the mooring -- I think mooring is, to a large extent, mostly completed, but now there's carryover. And once that is done, there's still significant hookup activities. So everything there is moving. We are relatively modest in terms of how that will translate into our P&L in 2025. So, we do see this as being later in the year. We then see the ramp-up as being also critical to make sure that we drive value out of this new asset. Ramp-up will happen throughout 2026 according to our current expectations. So, you will only reach plateau according to our current expectations in 2027. That will be another 40,000 barrels, which is significant in our portfolio. So, our current estimates at plateau. So, again, ramping up all the way through to 2027. But once we reach it, we expect that to be an addition of approximately $400 million, I believe, in terms of OCF, that's on a per annum basis. In terms of 2P, some great asset. It's had a remarkable performance, and it's one of the assets where the good decline rates that we see in Brazil, we're talking about approximately 5% decline rates in an ultra-deepwater setting where the expected reference is approximately 8%. So, this is a great performing asset. And of course, we want to make sure that all that potential continues to be extracted. We were asking for an extension and the whole Petrobras Brazil team is very keen on making sure very engaged in working through that request for an extension. So again, great asset, looking forward to make sure we get all the value out of it. We see it as one of the hallmarks of our Brazil portfolio. Now, in terms of optimization of CapEx in terms of flexibility, as I mentioned before, I think the line under the current macro circumstances is very much the same line we've been sharing with you before. It's a line of disciplined investment decisions. And that, to an extent, was already present in the way we planned for 2025. So, we know 2025 is a year where we have still significant CapEx lined up. So, we have our investments in scenes with the H2 and the HVO facilities being at full steam ahead in terms of construction work. Bacalhau is still using up some of our CapEx. So, it's very much value-accretive investment, what we're talking about in terms of 2025. Now having said that, we are conducting the same disciplined exercise, and that tells us that if we look at our current CapEx estimates, there's a bit of room, let's say, 10% to 20% in terms of possible optimization. We will take each of those decisions, and we will consider each of those opportunities very much in light of how well we're performing. Let me remind you, we're not revising guidance at this stage. So, we believe we have sufficient comfort in our current plan to make sure that even though macro is indeed proving challenging, we have the necessary conditions to maintain our strong financial position. We have a dividend breakeven of approximately $20 per barrel. So that does give us sufficient flexibility. So, it's again the trade-off between being very conscious of the need to optimize CapEx to be ahead of the curve in terms of knowing where that room for optimization is, but then to take those decisions to the extent that they don't hinder our ability to continue the growth in our portfolio forward. So, every investment that's value accretive, we will continue to consider it and it is still within our own estimates for the year. Thank you.
Operator: Thank you. Your next question comes from the line of Michele Della Vigna from Goldman Sachs. Please go ahead.
Michele Della Vigna: Thank you very much. Sorry to keep asking about Namibia. But I wanted to ask you for a slightly different thing. We've seen wells being drilled around your acreage, a dry well from Chevron, what looks like a successful well from Azul. I was wondering if there is any learning on your acreage that comes from these wells? Perhaps does it open up new prospects in the block beyond Mopane? And then, I wanted to ask you about your biofuel project and whether you still expect the SAF plant effectively to start up in 2026 despite what has probably been a bit of a slower start in that market from a margin and pricing perspective year-to-date.
Maria João: Thank you, Michele. On what we see happening in the basin and on our potential partners and peers, we don't really have access to privileged information. So, let me start there. So, what we do see, and we normally don't really comment on peers' assets, but generally, what we see as a whole, it's a relatively large basin, a lot of work being done there, a lot of information still being input. But all in all, we're generally happy for other players' success, of course, because we believe that, that reinforces Namibia's potential as a future oil hub, which we do see the basin as having such characteristics. In our case, if anything, if I can just mention and point out one example, if you look at the results that Rhino recently obtained, those are consistent with a notion that the basin is oilier, closer to shore. So that's kind of the level of inference that we can take from what we're seeing happening around us without being overly prescriptive and without just taking away any of the focus that we need to have and making sure that we are continuing the full analysis of the data, the actual drilling data that we're getting from what we collected in the campaign that we conducted. So, very focused on our assets, excited about what we saw in the asset, but also being very analytical about how to look at it at this stage. So, no other read across than reinforcing our view that Namibia has all the potential to be a future oil hub. João, maybe on the question on biofuels.
João Diogo: Yes. So, it's confirmed. Our best estimation is that the start-up will go later 2026. You may know that the three reactors arrived year-end 2024. And in fact, all detailed engineering is by now concluded. So, long lead items are allocated, a very flexible unit between HVO and SAF. And well, we are keeping our guidance and hopefully, 2026 will go live. Thank you.
Michele Della Vigna: Thank you.
Operator: Thank you. Your next question comes from the line of Alastair Syme from Citi. Please go ahead.
Alastair Syme: Hi. One more question on Namibia, I'm afraid. We went through this farm-out process last year. And I just wonder if you can reflect on why that didn't work and what you're doing differently with the farm-out this year. Is it essentially that you've just drilled this southeast corner of the field, or is there more to it than that? Thank you.
Maria João: Thank you, Alex. I think the fact that we're reengaging with to a large extent, some of the players that were in conversations before speaks to how we see what happened in 2024. I think we came to a mutual understanding that there was still information to be obtained about Mopane and about our block as a whole and that it would be productive for all parties interested, that information would be obtained. I think there was, to a large extent, agreement that what we were proposing to do because we saw it ourselves as the plan moving ahead with the asset in terms of E&A, but it was well received by proposed partners, and it was mutually acknowledged that we could run through those activities that would give all parties a clearer view. And that's where we're standing right now. So that's, hence, finding it natural to not reengaging. We've come to what we had agreed to do in terms of further understanding the asset. We're now sharing that information. When we look at our decision tree concerning the asset, this is the right moment for us to reengage and to have information actually feeding a productive discussion. So I guess that's what I would comment. It's not necessarily a classification or a note on what went -- what happened differently or what happens differently now versus 2024. The information and the maturity of our knowledge of the asset has changed. So we expect that to drive us forward. Thank you.
Alastair Syme: Thank you.
Operator: Thank you. Your next question comes from the line of Sasikanth Chilukuru from Morgan Stanley. Please go ahead.
Sasikanth Chilukuru: Hi, thanks for taking my questions. I had two, I'm afraid both on Namibia again. First one was regarding some recent comments we've seen from the new President of Namibia and also the Petroleum Commissioner stressing the importance of local content for any potential developments there and also calling for synergies and collaboration between the partners of all the discoveries in Namibia so far, including some gas-only discoveries. I was just wondering how this was affecting your planning for the development in the Northwest region of Mopane. Any thoughts on this would be helpful. The second one was on the reserves. I was wondering if you could give some color on the recovery factors and the gas oil ratio used for the 0.9 billion 3C resources that you have added so far. It appears to me that there is a significant proportion of gas in these resources added, which is done by the auditor. So, just wanted to check whether it was true. Thanks.
Maria João: Thank you, Sasi. So, on the recent address to the nation from the Madam President in Namibia, we've had very productive, very constructive conversations with the Namibian government so far. We understand the relevance of the asset, and we understand a stance that is focused on making sure that the conditions for the asset to be developed are in place and that the conditions for the Namibian people to actually share in the value of that asset to be there. So, we look at local content and synergies as something that is normal. We see it across many other basins. This has, to an extent, been computed into all the partners and all the entities that are working there. If anything, we've had an extremely productive relationship in Brazil. And I think Brazil is where we are closer at home and experiencing the quality of local content and how that can actually be decisive in bringing an asset of the relevance that we believe Namibia can aspire to be bringing that forward. So, it's a long way ahead. It's important that these things and that these intents are clear from the start. We see them as natural to an extent we welcome an open dialogue about them. And we see them as a way to move forward in terms of making sure that the common, the shared interest, which is keeping pace in delivering the value of these assets is actually met. So, no big additions to make on that topic. On the recovery factors and the gas to oil ratio on the 3Cs, so again, very different methodologies, DMAIC and our models. And again, very different scope. And I think that is critical to always keep in mind. This is the information that DMAIC has refers back to November. So again, that is very partial. Mopane is a rather large system. What we're finding is that the AVOs have different characteristics. So, we don't have a discomfort or find an inconsistency in the numbers that DMAIC presented, but they do not stand for the whole of the complex for the whole of Mopane. And again, they're compatible with our models, but they're very, very partial and they're early days in terms of estimates. So I would leave it at that. Thank you.
Sasikanth Chilukuru: Thank you.
Operator: Thank you. Your next question comes from the line of Matt Lofting from JPMorgan. Please go ahead.
Matt Lofting: Thanks for taking the questions. I wondered if you could remind us of the main criteria Galp is thinking about or focusing on when it looks to establish, as you've said, a value-accretive partnership in Namibia and your sense of whether current market volatilities is having any impact on the reengagement process for what's clearly a longer-term rather than nearer-term asset. Secondly, you talked about the midstream business earlier. I wondered if you could just come back on refining as well. 1Q margins, I think, modestly below the full year plan that you framed in February. How are cracks trending now year-to-date or in April? I'm just wondering the extent to which you're seeing any positive integration effect or offset against recent downward pressure on oil prices. Thank you.
Maria João: Thank you, Matt. So, on what is a value-accretive partnership, I think we've already been explicit about the fact that we value the notion of establishing a partnership with an experienced operator. What we see in the asset size and in the asset characteristics leads us to believe that this is a good set of skills to have to make sure that we drive the asset forward in the best possible way. So then, once you've established that, I think the second criteria for us has clearly got to do with the pace at which we develop the asset. We'd like a partnership to be established with someone that within their portfolios does not bring Mopane to a second layer or to a non-priority level. This is relevant for us. Mopane has the potential to be worthy of a first track development, and we would like to find a partner that looks at Mopane in that same way. We believe that if these two are aligned, then it is, of course, very, very much an issue of making sure that we conduct a fair valuation, we share information and we align our interests. Hence, some of my comments about the fact that we do not want to close a timeline. These things take time. It's as relevant to us to close a deal as it is to make sure that the deal is closed in a way that is conducive to the value of the asset to be explored. If I -- I believe you mentioned the potential impact of the current context. There's an element, of course, of long-term investment here. So, this has to be an interest that manifests through the cycle, and that's what we're seeing in terms of the potential partners that have come forth. Now having said that, nobody dropped off the conversations. So there was no disengaging. There was no reaction to macro context and to geopolitic context in this sense. So, so far, what we see is this shared vision that this is an asset worth through the cycle approach. So, no major impact so far.
João:
João Diogo: Yeah. Let me take that part. And Matt, yes, indeed, April to date, we've seen refining margins pressured at below -- just below $4 per barrel. reflecting weather -- weaker support on the middle distillate cracks. On the first Q, if we look at our refining margin, it was slightly higher Q-on-Q despite all the volatility that we are facing on the crack environment, but also the suboptimal, let's say, let's call it like that operation given the bad weather conditions that we've suffered on the first couple of months this year. Looking -- going forward, well, we are expecting refining margin on circa $6 per barrel, 2025, 2026. That's our guidance. We are not changing our guidance at this point. As we know, we are facing a very uncertain outlook with volatility impacting demand dynamics, but we will remain focused on optimizing our processes and optimizing cost-saving initiatives, and that's where we will put all our efforts at this point. And I stop here.
Matt Lofting: Thank you.
Operator: Thank you. Your next question comes from the line of Irene Himona from Bernstein. Please go ahead.
Irene Himona: Thank you very much, and congratulations to both on your appointment. My first question back to Namibia, if I may. As you stated that the farm-down may or may not happen this year, there is no rush. And you're analyzing all the data and working on the development concept. If we don't get the farm down this year, what can the market expect in terms of Galp articulating any further information on Namibia over the rest of this year? So, is there a next step for the market aside of the farm down? And my second question, a point of detail on the upstream P&L, where aside of your disclosed lifting cost, royalties, DD&A, there is this category of other costs not related to production. And that number -- that amount with the Namibian campaign has obviously gone up materially versus history. Is there any guidance you can provide? Any sense you can give us of that amount of other costs for the full year '25, please?
Maria João: Thank you, Irene. So again, our base case for the farm-down is to position it as expecting to take place within this year. Other than that, again, no procrastination. So, we see if the conditions are there for a productive dialogue to be established for the terms to come to an agreement between ourselves and a potential partner before that, we see no reason to delay this process or to have it take longer than necessary. It's a balance between not rushing and again, missing out on the conditions for the adequate development of the asset in the future. So, we're simply acknowledging that for an asset this size, the complexity will require time. This is not a week's deal. This is probably going to take longer than that, and we want to make sure that the market is aware that we will take that time if it is necessary, but only if it proves to be value accretive, again, if it proves that the conversations are moving and that this is a way for us to come to the right terms. So, again, our focus is on that. I will not comment on whether if the deal doesn't come through, we don't see any reason for that to be the case at this stage. So, we'll work from that hypothesis and make sure that we firm up the closure instead. Thank you for a non-Namibia question. So, the detail or the clarification on the upstream P&L, I believe you were referring to the other costs. So no, we don't normally guide on that. That has a set of elements. These other costs normally include a multitude of things such as SG&A costs, insurance expenses, SEM accounting, so successful efforts method accounting. It did include a lot of the geophysical and geological expenditures. So, it did hike up given our activities in Namibia in late '24 and early '25. But don't take it as guidance, but we -- our expectation is that it's -- given all the other elements it contains, it should be something in the magnitude of [€100 million to €150 million] (ph) tops, but let's place it within that order of magnitude for 2025 as a whole. Thank you.
Irene Himona: Thank you.
Operator: Thank you. We will now take our final question for today. One moment, please. And your final question comes from the line of Matt Cooper from Barclays. Please go ahead.
Matt Cooper: Thank you very much. So, in February, Total announced that the Venus permeability was in the range of 2 to 4 millidarcies. I just wondered that given the amount of data that you now have, are you able to give some high-level color on the range of permeabilities you're seeing at Mopane? Given you say good to high permeability, would it be unfair to say that equates to around 500 millidarcies in that region? And then, secondly, could you run through the advantages for the development of the higher permeabilities that you're seeing at Mopane? Thank you.
Maria João: Can you hear me? Yes. Thank you, Matt. So, on what we're seeing in terms of permeability, we're not really being specific about the numbers. We are seeing indeed permeability ranges, which are significantly higher from what we've seen other of our peers announce and discuss. We see that, of course, as an upside to the development, but we're not adding any further information on that topic right now. Thank you.
Matt Cooper: Okay. And on the second question?
Maria João: So, on the advantages of the Mopane development, so what we're seeing that is we're seeing water depths that in terms of the 1,500 to 12,000 meters, and we are looking at those as being clearly less expensive than what we see in greater depth. So that's one of the topics that I guess, I would highlight. Again, this is early days. We're still very much working around the development concept. So all these things come together. So, the water depth but also the fact that we're seeing no evidence of water, the permeabilities, as I've mentioned before, all of that needs to come together into an actual development concept. Each of these pieces of information on itself can be very misleading and have very, very little meaning. Hence, again, we've stopped drilled halfway through the quarter. So, these are very early days. You've seen a lot of our peers take at least a year to bring all this information, maybe even two years to bring all this information into something that actually speaks to commerciality that actually speaks to a development concept that brings all of this together. So, we see good signs. We really want to bring them all together before we actually take meaning out of each of those individual signs. Thank you.
Matt Cooper: Thank you. And appreciate all the information on the call.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.